Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Q1 2020 NCS Multistage Earnings Conference Call. At this time, all participant lines are in a listen-only mode. As a reminder, this conference is being recorded. [Operator Instructions]I would now like to hand today's conference over to your speaker for today, Ryan Hummer. Please go ahead.
Ryan Hummer: Thank you, Stephanie. And thank you for joining NCS Multistage's first quarter 2020 conference call. Our call today will be led by our CEO, Robert Nipper, and I will also provide comments.Before we begin today's call, we would like to caution listeners that some of the statements that will be made on this call could be forward-looking and to the extent that our remarks today contain information other than historical information. Please note that we are relying on the Safe Harbor protections afforded by federal law.Such forward-looking statements may include comments regarding our future expectations for financial results and business operations and are subject to known and unknown risks and uncertainties, including with respect to the COVID-19 pandemic and its impact on the global economy, oil demand and our company. I'd like to refer you to our press release issued last night along with other public filings made from time to time with the SEC that outline those risks.I also need to point out that in our earnings release and in today's conference call, we refer to adjusted EBITDA, adjusted EBITDA margin, adjusted EBITDA less share-based compensation, free cash flow and net working capital, which are all non-GAAP measures of operating performance.We use these measures of operating performance because they allow us to compare performance consistently over various periods without regards to the costs associated with our current capital structure and in a manner that we believe better reflects our operating performance.Our press release and the updated investor presentation posted yesterday, which are both available on our website, ncsmultistage.com, provide reconciliations of these non-GAAP financial measures to the nearest GAAP financial measure.With that said, I'll turn the call over to Robert.
Robert Nipper: Thank you, Ryan. And welcome to our investors, analysts and employees joining our first quarter 2020 earnings conference call. Today, I'll review our accomplishments in the first quarter, how the COVID-19 pandemic has impacted our business and the initiatives NCS has taken to reduce costs and improve liquidity. I'll also briefly discuss our outlook for each of U.S., Canada and international markets. After that, I'll turn the call over to Ryan to discuss the quarterly results and our liquidity position in more detail, after which, I'll provide some closing remarks.Before discussing our results, I'd like to express our hope that everyone listening, as well as your families are safe in these challenging times. I'll start by briefly touching on our results from operations in the first quarter.We increased our Q1 revenue by 3% on a year-over-year basis and 5% sequentially. We saw the continuation of two positive trends for NCS in the quarter. First, our momentum in Canada was maintained with a 17% year-over-year increase in the first quarter, compared to a 7% increase in rig count. This momentum reflects market share gains in fracturing systems and continued pull-through of our other product and service offerings.Second, we continue to grow our international business, our international revenue in the first quarter increased by 68% as compared to the prior year. We believe we lost some revenue because of the COVID-19, pandemic in mid-to-late March, which drove our revenue and gross profit margin below our original guidance for the quarter, which we originally provided in early March but later withdrew in early April.Despite this, our adjusted EBITDA for the quarter was $9.2 million or 17% of revenue, an improvement from $7.4 million in the first quarter of 2019 and from $8.3 million in the fourth quarter of 2019.We generated free cash flow of $3.2 million during the first quarter, which compared favorably to a negative $5.8 million in free cash flow in the first quarter of last year, a reflection of better working capital management and a significantly reduced capital spending plan.The COVID-19 pandemic and the associated response by governments across the world is truly unprecedented in its impact on the global economy and oil demand. For NCS, the health and safety of our employees is our highest priority. We have implemented our response plan in accordance with guidelines from the CDC, WHO and state and local governments.We've had a small number of employees test positive for COVID-19. Fortunately, the employees have only had mild symptoms and we have taken measures to ensure that we have a safe and healthy workplace that employees have access to appropriate protective gear and that social distancing measures are being enforced.Impacts to our supply chain have been modest to-date, with some delays in chemical shipments from China for our tracer diagnostics business and stay-at-home measures in Mexico impacting our machine shop operations at Repeat Precision. In both of those cases, we have adequate supply and inventory to meet our customers' needs for the foreseeable future. Certain R&D projects have experienced delays resulting from supplier operations as well.By far, the biggest impact NCS has been the secondary impact driven by a reduction in oil demand of over 20 million barrels of oil per day in the second quarter. This reduction in demand paired with delayed responses by our producers in reducing supply has led to massive overcapacity in global storage builds. This oil glut has resulted in a collapse in the price of oil in the front months and a meaningful reduction across futures curve.Our customers have responded by dramatically reducing their capital budgets and activity levels for the remainder of the year. North American E&P capital budgets for 2020 have been reduced by over 30% from initial levels. The current operated U.S. frac spread account is reported to be below 90 and the U.S. horizontal rig count has fallen by over 300 in the last six weeks alone. The current land rig count in Canada is in the mid-20s. The lowest level ever reported in the Baker Hughes rig count.Many North American E&Ps have instituted what some are calling frac holidays for several months and are shutting in high cost production. As a result, we expect that industry completion activity in North America could be lower by 75% to 85% sequentially in the second quarter and remain at low levels through at least the end of 2020.In addition, we believe that drilling and completion activity in Canada will remain at historically low levels through the second quarter with only a muted recovery in the second half as we exit spring breakup.We believe activity in the international markets we participate in will be reduced as well, with overall activity for 2020 expected to decline as compared to our prior expectation for modest growth.To-date, the international regions experiencing the greatest disruption for NCS have been China and Argentina, with activity in other areas ongoing, but subject to quarantine measures for our personnel.We cannot reasonably estimate the duration or of the disruption to the economic activity and oil demand related to COVID-19 pandemic and the elevated global crude oil storage levels. As a result, NCS management has undertaken multiple initiatives to make structural changes to our cost base, limit our capital expenditures and enhance our liquidity. These measures are listed in detail in our earnings release issued yesterday evening and I'll highlight a few of the most impactful measures we've taken.Over the course of the last 40 days, we have reduced over one-third of our workforce in the U.S. and Canada, representing a reduction of over 130 employees. All remaining employees are working under decreased hours through furloughs or have had their salaries reduced, including reductions in executive salaries averaging 20%.In doing so, we have better aligned our field service capability with current market activity levels and significantly reduced our SG&A expense. We've reduced our bonus accruals and eliminated the employer match for our retirement plans. We are benefiting from government initiatives in the U.S. and Canada, including the CARES Act and expect to receive a U.S. income tax refund of over $1 million in the second half of 2020.We borrowed $5 million under our credit facility at the end of the quarter to fund severance obligations related to the reduction in workforce. We increased the borrowing capacity at Repeat Precision, which is part of a separate credit group from our credit facility and we have reduced our planned capital expenditures for the year.With the actions outlined above, as well as other initiatives that we have executed on, we expect that we will reduce our reported SG&A expense in 2020 by over $20 million as compared to 2019.We've been successful in converting our net working capital, which was in excess of $70 million at March 31st in the cash with a consolidated cash balance in excess of $25 million at the end of April.On last quarter's call, we highlighted the value that we bring to our customers through our product and service offering, bringing differentiated technology to our customers that saves them time and cost is important today, more important than it has been before.We remain committed to leveraging our technology to continue to improve our market share across the U.S., Canada and international markets. We also remain highly focused on free cash flow, benefiting from our capital light model and on our liquidity, as Ryan will speak to in a moment.While the next several quarters will be challenging for our industry and our company, we're committed to taking decisive action so that we will be well-positioned to participate in the increase in activity that inevitably follows the downturn.Before I hand the call back over to Ryan, I'd like to speak to an ongoing litigation matter that we have brought up before. As a technology company, it is important for us to defend our intellectual property, including any intellectual property that we have licensed from others.In early April, the U.S. District Court for the Western District of Texas issued a final judgment in connection with the litigation with Diamondback Industries Incorporated, awarding Repeat Precision, approximately $40 million plus attorney's fees in connection with our claims for Diamondback's breach of the exclusive license, patent infringement and torturous interference.In its ruling, the District Court validated the terms of Repeat Precision's exclusive license with respect to the setting tool technology and enjoying Diamondback from selling its infringing line of setting tools.On April 21st, Diamondback filed for Chapter 11 bankruptcy and filed its notice of appeal related to the judgment. While the judgment remains subject to appeal and any monetary award subject to collection, we intend to vigorously challenge the appeal and try to enforce our rights.I'll now ask Ryan to discuss our financial results in more detail.
Ryan Hummer: Thank you, Robert. As reported in yesterday's earnings release, our first quarter revenues were $54.6 million, 3% higher than the prior year's first quarter. On a sequential basis, revenue in the first quarter was 5% higher than revenue in the fourth quarter, with a seasonally driven increase in Canada, offset by declines in the U.S. and in international markets.Gross profit, defined as total revenue less total cost of sales, excluding depreciation and amortization expense was $23.9 million in the first quarter or 44% of revenue. This compares to $26.1 million or 49% of revenue in the prior year's first quarter. For sequential comparison, our gross profit was $26.1 million or 50% of revenue in the fourth quarter of 2019.Selling, general and administrative costs or SG&A expense was $20.8 million in the first quarter, as compared to $23 million in the prior year's first quarter and it was also lower than fourth quarter 2019's level of $22.2 million.Our reported SG&A includes share-based compensation and certain non-recurring expenses, including certain litigation costs and severance expenses. In the first quarter, our non-recurring litigation expenses totaled $1.4 million, and our severance expense totaled $1.3 million.Adjusted EBITDA for the first quarter was $9.2 million, as compared to $7.4 million in the prior year's first quarter. Our adjusted EBITDA in the first quarter as a percentage of our total revenue was 17%.We recorded non-cash impairment charges totaling $50.2 million during the quarter, which included approximately $9.7 million related to property and equipment, and $40.5 million related to intangible assets.Our depreciation and amortization expense for the quarter totaled $2.6 million and will be reduced going forward due to the impairments I just mentioned.We had net income attributable to non-controlling interest of $2.6 million during the quarter, which reflects positive net income at Repeat Precision. Our average basic and diluted share counts for the quarter were both 47 million.Turning now to cash flow items and the balance sheet, cash flow from operations for the first quarter was $3.6 million and our net capital expenditures for the first quarter were $0.4 million, resulting in free cash flow for the quarter of $3.2 million.At March 31, 2020, we had $15.5 million in cash and total debt of $17.7 million, which included $15 million drawn under our revolving credit facility with $10 million drawn in the U.S. and $5 million drawn in Canada.We will not be providing revenue or gross margin guidance for the second quarter, but do have the following points of guidance. We expect our reported SG&A, inclusive of share-based compensation, non-recurring items and severance to be between $17 million and $18.5 million. This includes approximately $1.8 million in share-based compensation, $3.6 million in severance expense and approximately $0.5 million in litigation expenses.We expect our second quarter depreciation and amortization expense to be approximately $1.5 million and we expect our net interest expense to be approximately $0.4 million for the quarter.Our expected gross capital expenditures for the full year 2020 have been revised to a range of $2.5 million to $4 million, a further reduction from our guidance in early March, and at the midpoint, nearly 50% below our gross capital expenditures of $6.4 million in 2019.I'll take the next few minutes to discuss NCS's liquidity position and our revolving credit facility. NCS ended March with $15.5 million in cash and $17.7 million in total debt for net debt of $2.2 million. The debt is comprised of the $15 million drawn under our senior secured credit -- revolving credit facility with the remainder being short- and long-term capital leases.We were in compliance with our credit facility's financial covenants at March 31, 2020. We view the most restrictive covenant under this facility to be a maximum total debt to trailing 12-month EBITDA covenant of 2.5 times.If current depressed market conditions continue or worsen, it will have a material negative effect on the company's financial performance, which would be expected to result in a breach of the covenants and a default under the credit agreement, which could occur as early as the third quarter of 2020 in a depressed market environment.In the event of a default, the lenders may elect to declare all outstanding borrowings under the facility immediately due and payable. To address this, the company is currently engaged in preliminary discussions with its lenders regarding a possible amendment to the credit agreement.We are in the process of determining whether our cash on hand and cash flows from operations will be sufficient to fund our capital expenditures and liquidity requirements for the next 12 months, including the potential acceleration of amounts outstanding under the credit facility.This analysis includes the actions that the company has taken as described by Robert earlier to reduce costs and enhance liquidity. We expect to finalize this analysis in connection with the filing of our Form 10-Q.With this, it's important to note that NCS had net working capital of $70.4 million at March 31, 2020, which is well in excess of the current borrowings under the revolver. With strong collections performance since the end of the quarter, as Robert mentioned earlier, NCS had over $25 million in cash on hand at the end of April, but no change to revolver balance at March 31st.I'll hand it over to Robert for closing remarks.
Robert Nipper: Thank you, Ryan. Before we open up the call for Q&A, I'll close with a couple of brief comments. Our industry is facing unprecedented challenges, especially in North America, as our customers are rapidly reducing activity in the face of storage limitations and uneconomic oil price environment.NCS delivers a focused portfolio of technologies that help our customers operate more efficiently and optimize the value of their asset, the right technologies for this market. Our international footprint, while we're still relatively small provides us with exposure to markets exhibiting greater strength in North America.We're focused on adjusting our cost structure and capital spending for the current environment. We've reduced our U.S. and Canadian head count by over one-third and are targeting $20 million in reduction in SG&A compared to 2019. We've maintained a capital light business model, which facilitates free cash flow generation.I want to thank our employees. We've been through two very difficult reductions in recent weeks. We have a world-class workforce and every employee at NCS is currently take -- making a sacrifice on behalf of their coworkers and stakeholders associated with NCS. Your hard work and dedication and ingenuity are key to our company's success to the credible outcomes we deliver for our customers now and in the future.With that, we'd be happy to take your questions.
Operator: Thank you. [Operator Instructions] And your first question is from the line of Ian MacPherson of Simmons. Ian, your line is open. One moment. Ian, your line is open.
Ian MacPherson: Hi. Can you guys here me now?
Robert Nipper: Good morning, Ian.
Ian MacPherson: Hey, Robert, sorry, I was not on mute, it was another glitch. But thanks for the comments. I hear you loud and clear, you're not in the hope camp for activity rebounding this year, perfectly reasonable. If you did -- if we did have a different price signal from the commodity, would you wage your bet as to which market might be a little bit more sensitive to a recovery between your Canadian business and your U.S. business?
Robert Nipper: Yeah. If we're speculating here, I would say, probably, the U.S. market. The Canadian market will rebound, obviously, I mean, right now we're break up, rig counts at a low that we've never seen before. I mean, almost 20 rigs, give me a break. But, no, I think, the U.S. market could rebound if we got something that was completely unexpected.
Ian MacPherson: Yeah. On the litigation collection, what are -- what's your legal team advising with regard to the timeframe of resolving that and any sort of risk-adjusted assessments that you're getting in terms of collectability?
Robert Nipper: Yeah. So not going to handicap the collectability part of the deal. As I mentioned before, the Diamondback has filed for bankruptcy. Our legal team believes that, that is exactly the place that we need to be at this point for maximum advantage in collectability based on all the facts that are in place today. So as far as handicapping win, there's going to be a collection and how much it's going to be actually, I can't comment on that.
Ian MacPherson: Okay. Well, good luck with it. It's obviously a hugely material piece now relative to the capitalization and the liquidity endpoints that we're contemplating. So I'll stay tuned for the Q and the resolution on the credit facility and I’ll pass it over for any other questions. Thanks.
Robert Nipper: Thanks, Ian.
Ryan Hummer: Thank you, Ian.
Operator: Our next question is from the line of Taylor Zurcher with Tudor Pickering Holt.
Taylor Zurcher: Hey. Good morning. First, just wanted to follow-up on Ian's question and it strikes me that the business mix at NCS has changed quite a bit since -- at least since the last downturn. So as you enter this downturn, are there any products or services within the portfolio today that you think might hold up better than others, at least within North America? I mean, I realize everything is going to get whacked, but I just given that the different product mix that you have today relative to the last downturn. Does anything stand out as holding up a bit better than others?
Robert Nipper: Yeah. Well, it's a really good point. In the last downturn, we were primarily slotting sleeve company in the U.S. and now wellbore construction is a big part of our business, as well as tracer diagnostics and frac plugs.So the products that we offer today versus what we had back then, they're products that are being used every day on wells that are being completed. And so the difference is that we were trying to push at technology into a market that wasn't very receptive for it in a lot of different places with some of the sliding sleeve products that we had and today, these products are already accepted. It's just a matter of getting more market share.And we believe that our cost structure is such that we can compete, price is not that much of an issue for us. We have in anticipation of closings from the COVID virus. We increased manufacturing capacity, we started building inventory. And so we're in a good spot to be able to take advantage of whatever activity that there is, we think.
Taylor Zurcher: Okay. That's helpful. And the follow-up is on working capital. It sounds like at least through April, that collections have improved, and you've been able to generate some more cash out of working capital. I know these things are hard to predict, but any way to -- any kind of goalpost to think about as it relates to potential cash generation out of working capital over all of 2020 or is it still a little bit too early to say right now?
Ryan Hummer: I think it's still too early to say. Typically, what we will see from seasonal patterns in the business would actually be some modest negative free cash flow in the first quarter, we outperformed that a bit.Typically, we generate free cash flow in the second quarter and fourth quarter. And with the resumption of activity in Canada coming out of breakup and revenue picking up, we built receivables and built working capital, therefore, working capital being a use of cash typically in the third quarter.So I'd say this year, we see the second quarter being probably stronger than normal with respect to free cash flow generation and working capital release, probably still a bit too early to determine the magnitude of any working capital outflows in Q3 and inflows in Q4, just depending on how activity shapes up in the back half of the year.
Taylor Zurcher: Okay. Understood. Thanks guys.
Ryan Hummer: Yeah.
Operator: Your next question is from the line of JB Lowe with Citi.
JB Lowe: Hey. Good morning guys.
Ryan Hummer: Good morning.
Robert Nipper: Good morning.
JB Lowe: I was just curious, Ryan, could you run through the actual covenants again on your debt?
Ryan Hummer: Sure. There are two financial covenants. The first is maximum debt to trailing 12 months EBITDA on the facility, a maximum of 2.5 times and then there's an interest coverage covenant with a minimum of 2.75 times. And of those really the one that we view as being the most operative, if you will, would be the total debt-to-EBITDA covenant.
JB Lowe: Okay. Appreciate that. I am curious -- I'm sure there's been a lot of conversations with customers lately that are kind of just guys drawing their hands in the air. But at this point, have you -- do you have any way to dimension the pricing conversations you've had for the conversations that you actually have had on activity?
Robert Nipper: The -- I'm sorry, the pricing conversations on activity or…
JB Lowe: Yeah. Like how much pricing concessions are guys asking for in this environment?
Robert Nipper: They're asking for a lot. We've had…
JB Lowe: Yeah.
Robert Nipper: Yeah. So I would say, the pricing conversation started probably close to a month ago and it was in terms of, we had several customers sending letters out to us. We had customers with inbound calls. And they were asking for 25% to 30% reductions. We've seen that taper off.I think that the industry has responded, the service company industry has responded in a way that we were pretty well maxed out on discounts and there's not much more to give. There has been some pricing degradation, but not nearly to the extent that the customers were asking for.I -- we -- what we have seen is that there are companies that have inventory in stock and they're trying to release cash. And we see spots of highly discounted products. But generally, pricing is holding in kind of where it is right now. But I do expect that we're going to see some pricing degradation going forward, but not to the extent that we had in the past.
Ryan Hummer: And I'd add to that, that any conversation that we have with our customers around pricing will also involve bundling of more of our products and services into the mix.
JB Lowe: Okay. Makes sense. Last one for me, just -- can you guys talk about your exposure to the gassier basins that might see activity hold up a little bit better?
Robert Nipper: Yeah. So we -- we're primarily our activity in the U.S. I'll talk about that first. Primarily in the U.S., we're exposed to the oil plays, in the Permian and some in the Mid-Con. But we do have a presence in the Rockies, which there's a gas play, there's gas exposure there. In the Northeast, we also actually have work that's increasing there. We're not in the Haynesville Shale right now, but that's another area that we're looking at.But the products and services that we have, I mean, the way we're set up in the U.S., we can go just about anywhere. In Canada, we're working across all the place there. And hopefully, gas has some legs on it. Maybe if it does then that will help for sure.
JB Lowe: All right, guys. Appreciate the answers. Good luck and stay safe out there.
Robert Nipper: Thanks. Same to you.
Ryan Hummer: Thanks.
Robert Nipper: Thanks, JB.
Operator: [Operator Instructions] And at this time, there are no further questions. I'll turn the call back to Robert Nipper for closing remarks.
Robert Nipper: Thank you, Stephanie. On behalf of our management team and our Board, we'd like to thank everyone on the call today, including our shareholders and the research analysts who cover NCS, but especially our employees. I extend my appreciation to our more than 250 employees around the globe, as well as the team at Repeat Precision. I continue to believe that we have the best team in the industry and our performance backs set up. It is through the talents, effort and dedication of this team that NCS is able to provide exemplary customer service and drive the innovations that we bring to the industry. We appreciate everyone's interest in NCS Multistage, and we look forward to talking again on our next quarterly earnings call in August. Thank you very much.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.